Operator: Ladies and gentlemen, thank you for standing by and welcome to Canaan Inc.'s Third Quarter 2023 Earnings Conference Call. At this time, all participants are in listen-only mode. After the management's prepared remarks, we will have a question-and-answer session. Please note that this event is being recorded. Now I'd like to hand the conference over to your speaker host today, Mr. Clark Soucy, Investor Relations Director of the Company. Please go ahead, Clark.
Clark Soucy: Thank you. Hello, everyone, and welcome to our earnings conference call. The company’s financial and operating results were released by our newswire services earlier today and are currently available online. Joining us today are our Chairman and CEO, Mr. Nangeng Zhang, and our CFO, Mr. James Jin Cheng. In addition, Mr. Leo Wang, IR Senior Director; Ms. Xi Zhang, IR Manager, will also be available during the question-and-answer session. Mr. Zhang will start the call by providing an overview of the company and performance highlights for the quarter. Mr. Cheng will then provide details on the company's operating and financial results for the period before we open up the call for your questions. Before we continue, I would like to refer you to our safe harbor statement in our earnings press release. Today's call will include forward-looking statements. These statements include, but are not limited to, our outlook for the company and statements that estimate or project future results of operations or the performance of the company. These statements speak only as of the date thereof and the company assumes no obligation to revise any forward-looking statements that may be made in today’s press release, call or webcast except as required by law. These statements do not guarantee future performance and are subject to risks, uncertainties and assumptions. Please refer to the press release and the risk factors and documents we file with the Securities and Exchange Commission, including our most recent annual report on Form 20-F for information on risks and uncertainties that may cause actual results to differ materially from those set forth in such statements. In addition, during today's call and webcast, we will discuss both GAAP financial measures and certain non-GAAP financial measures which we believe are useful as supplemental measures of the company’s performance. These non-GAAP measures should be considered in addition to and not as a substitute for or in isolation from GAAP results. You can find additional disclosures regarding these non-GAAP measures including reconciliations with comparable GAAP results in our earnings press release, which is posted on the company website. With that, I will now turn the call over to our Chairman and CEO, Mr. Nangeng Zhang. Please go ahead, sir.
Nangeng Zhang: Hello, everyone. This is NG, the CEO of Canaan. Thank you for joining our conference call. James and I are at the company's headquarters in Singapore to share our quarterly results with you. During the third quarter of 2023, bitcoin prices continue to decline and remain within a low price range. At the beginning of the quarter, the bitcoin price was around $30,000 and reached its quarterly low point of around $25,000 in September. It then stayed in the range of $25,000 to $27,000 until the end of the quarter. During the third quarter, the total network hash rate remained fairly stable at around 400 exahash per second. Miners faced slim profit margins and there was a lack of motivation and not enough capacity for further investments and the expansion of mining computing power. At the macro level, the U.S. Federal Reserve's raised interest rates by 25 basis points to 5.5%. The high interest rate environment limited bitcoin prices upward movement and increased miners financing and the interest cost. As a result, the industry's purchasing and deployment capabilities were impacted. Meanwhile, inventory pressure on in-store mining machine models continued to rise. As mining machine manufacturers reduced prices to clear inventory ahead of upcoming halving event. We observed considerable price concessions in computing power. In the face of this challenging market environment, we achieved total revenue of $33.3 million exceeding our guidance. At the same time, we kept carrying out our development strategies. This includes focusing on product R&D and the intention promoting multi-channel sales strategies and exploring mining partnerships. We also maintain prudent and flexible operational management to ensure a stable cash flow and ongoing business operations. This will help us to prepare for potential market opportunities in the future. Now let me go to more detail. First, we are committed to R&D and the investment in production capacity. This allows us to upgrade our products to achieve risk-loss in machine half-rate performance and energy efficiency. During our 10th anniversary event in mid-September, we officially launched our new generation of mining machines, the A14 series. The [A1466] achieves a hash rate of 150 terahash per second with a power efficiency of 21.5 joules per terahash. At the same time, we introduced the liquid cooled A1466i mining machine, which achieves power efficiency below 20 joules per terahash for the first time and has 170 terahash per second of computing power. Besides our current offerings, we are actively developing new products. Following our euro practice, we will announce their performance once the machine testing is complete. We believe these products in the pipeline will align with next year's market mainstream production power efficiency level of 10 to 20 draws per terahash. We are also in the process of delivering our air-cooled and the liquid- cooled integrated site solutions, which we have developed in-house. These include a 40-foot and a 20-foot air- cooled mining box container products and a 40-foot liquid cooling Avalon box mining container products. Our products are highly integrated, such as enabling rapid deployment, making them well suited for mining in challenging natural conditions of cold and hot weather. On the sales front, we are boosting sales in a number of channels, including large clients, distribution networks, and online retail. We are also offering favorable prices to reduce inventory. During the quarter, we achieved a total computing power sold of 3.8 million terahash per second. This represents an 8.7% increase compared to the same period last year, contributing about $30 million in revenue. In North America, we successfully completed the delivery of back orders to a Stronghold, a listed mining company. In Southeast Asia, our computing power sales reached 1.3 million terahash per second. This figure was a 90.7% quarter-over-quarter increase achieved through deeper collaboration with channel clients. Our online store achieved computing power sold of 420,000 terahash per second this quarter, a 17% increase compared to the previous quarter. Our online store also expanded its reach to five new regions, including Poland and Peru bringing its total number of regions with customer orders to 42. Following the September release of the A14 series, we have received contract sales orders and prepayments for computing power of about 2 million terahash per second from customers worldwide. In addition, our multi-channel sales efforts are bringing the planning, the stocking of our A12 and below the digital models closer to completion as expected. As per announced, our mining business in Kazakhstan has been temporarily suspended since the third quarter due to the impact of new regulatory policies. and we need to obtain the relevant permits. We have also experienced a breach of contract by a mining project partner in the U.S. As a result, mining revenue for this quarter declined to $3.26 million. However, we believe mining is a strategic part of our business. And short-term setbacks in certain regions will not affect our long-term strategy. We will continue to presently explore cooperation opportunities. During the quarter, we expanded and diversified our mining footprint when we completed the deployment of several new projects in North and South America. Notably, the latest batch of 2000 of our A13446 mining machines was successfully deployed and launched for our drawing mining project with the listed mining company Stronghold in the third quarter. At the end of the third quarter, we had approximately 4 exahash per second computing power deployed. We also hold 860 bitcoins owned by us reaching a historical high with a current market value of over $30 million. Recently, we have been expanding our mining opportunities in South America and Africa. In the Middle East, we carried out our first pilot collaboration with our integrated liquid cooling mining solutions. We have also been addressing some previously announced issues. In Kazakhstan, we worked together with local mining partners to obtain the type 2 license required for mining equipment owners in mid-November. We are currently working to register our locally deployed mining machines and are in the discussion with our mining partners to prepare for the resumption of operations. We expect that our mining projects in Kazakhstan will gradually resume around the end of 2023. For the project I just mentioned, where our U.S. partners bridged the contract, we have successfully taken possession of approximately all the mining machines involved. We have now restored about half of these machines. At the same time, we are carrying our legal procedures to protect our liquid-made rights. The marketing environment in the third quarter was challenging. We endeavored to maintain cash flows and operations and accumulate assets with strong growth potential. This will help us to allocate resources and lay for a foundation of full market after the next halving. We have also recently managed cost more prudently and optimized and adjusted our company's organization. We have reduced our total headcount to increase operational efficiency and reduced fixed operating cash outflows, smoothly navigating through the market downturn. These measures have been gradually carried out in the fourth quarter. We expected to see potential data reflecting these changes starting from the first quarter of 2024. Meanwhile, due to the overall weakness in the market purchasing power, we further adjust price to quickly clear the inventory and generate cash inflow. However, this adjustments also results in some non-cash provisions and the impairment, leading to a considerable loss of this quarter. In terms of financing, we announced today the sales of convertible preferred shares of up to $125 million, subject to customary closing conditions with an institutional investor. This still ensures we are able to carry out R&D and the mass production of new products in case of tightening cash flow amidst the bear market. This safeguards our product supply and the market share in the future full market. We have not utilized our ATM since the fourth quarter to date. However, we recently adjusted our ATM project by appointing B. Riley as a new sales agent. Looking ahead, the bitcoin price has been a notable rebound since mid-to-late October, which is encouraging. We are closely monitoring the market and flexibly adjusting our sales strategy and supply chain to adapt to changing market demands. However, it's important to note that sudden price increases in Bitcoin often come with increased volatility. The U.S. Federal Reserve seems likely to keep interest rates high for a while, and a rate cutting cycle may not happen for some time. The financing and operating costs of our downstream mining customers remain high, and the basic landscape remains unchanged. Additionally, with bitcoin halving approaching, market sentiment will likely be more cautious. Taking these factors into consideration, I believe that the fourth quarter has shown signs of improvement compared to the third quarter. However, we shouldn't expect the best-case scenario of both rising price and volumes to happen quickly. Based on the overall situation mentioned above, we provide a highly cautious outlook for the fourth quarter of 2023. We expect revenue of the fourth quarter of 2023 to be approximately $34 million, slightly higher than the third quarter. This forecast is based on company's current market and operational conditions, and the actual results may vary. Finally, I would like to discuss our AI business with you. After several years of hard work, we have built a solid foundation of our AIoT chip R&D and sales, especially with the industry recognition since the release of K230. This is a small step in our strategic plan. Given the significant changes in the AI industry over the past few months, we have been strategically discussing the future of our AI business. In light of our current industry and the marketing environment, we believe that the development of our AI business should take a more defined, independent, and long-term direction. So we are internally restructuring the business with the goal to clearly separate the mining machine and the mining teams from AI business as different business units. This prepares us for the future independent operation and potential financing for AI business. Both businesses will have enough scope for their future development. Personally, I'm really excited about this internal organization change. We operate in an industry full of variables and rapid changes creating new history every day. This truly tests our operational capabilities. Over the 10 years since Canaan's inception, we have run into many difficulties and challenges. We have constantly improved our technical and operational competitive to face and resolve these issues. Amidst a number of uncertainties, one thing is certain, our strong confidence in the bitcoin network. This emerging transaction system has operated remarkably stable over the past 14 years. Its user base and net to our cash rate have both continuously expanded. In recent years, more and more investment institutions have shown increased interest in corporate currencies, especially bitcoin. That have also recognized it as an important asset class. With ongoing process in the regulatory environment to divided between the general public and bitcoin is narrowing. I believe this will be a crucial driver for the next full market. We remain committed to growing alongside cutting-edge technology partners to continuously upgrade cheap features. At the same time, we will support bitcoin system and a range of other beneficial activities with robust computing power. We will continue to deliver superior products and services to our customers while contributing to societal progress. Thank you, everyone. This is - this concludes my prepared remarks. Thank you. I will now turn the call over to our CFO, James. Thank you.
James Jin Cheng: Thank you, NG, and good day, everyone. This is James speaking at our Singapore headquarters. As NG started with the call with, I would like to say the market environment in the third quarter of 2023 was still unfavorable. First, after Q1 surge and Q2 calmness, bitcoin price in quarter three showed a downward trend, which declined from $30,000 in July to about $25,000 in September, even though climbed the near to $27,000 by the quarter end. Secondly, the miners' profits were still limited by the high level of total networking computing power around 400 exahash per second. And the miners' purchasing power was weakened by the high financing interest cost. Thirdly, along with the product upgrading, the price competition among mining machine manufacturers was more fierce, especially the price of older generation machines continued to decline. These factors should be considered when analyzing our Q3 numbers. Despite the market downward volatility, geopolitical headwinds, regulatory changes, and other unfavorable factors from operation, we continued to execute our strategy and deliver the results through continuous investments in R&D, multiple channel sales development, and prudent cash flow management. Let's start with profit and loss. Overall speaking, in quarter three, total revenue generated was $33.3 million, which beat our guidance of $30 million, but down 54.9% quarter-over-quarter. Our revenue from machine sales was $29.8 million, and our mining revenue was $3.3 million. Regarding our machine sales, we delivered a total computing power sold of $3.8 million terahash per second, representing a year-over-year growth of 8.7%, but a sequential decline of 38.7%. As the average selling price declined from $9.5 per terahash per second in quarter two to $7.9 per terahash per second in quarter three, the decrease in ASP was mainly due to the reduction in the selling price and the increase in the sales proportion of A12 series in terms of stock clearance. Considering both factors of power sold and ASP, our revenue from mining machine sales was $29.8 million, decreased to 48.5% from $57.8 million in the last quarter. Specifically, for our mining machine sales, we accrued $53.9 million for inventories write-down, prepayment write-down, and provision for reserve for inventory purchase commitments in this quarter. The inventory write-down was recorded based on most recent subsequent selling price when we offered a further price concessions for A13 series. Those write-downs and provisions are made under U.S. GAAP rules, jeopardizing our gross profit and making the quarterly loss bigger, but do not impact our cash status. If the above write-downs and provisions were excluded, we would have a gross profit for our mining machine sales of $1.1 million and a gross margin of 3.9%. Turning to our mining business, our mining revenue was down 79.5% quarter-over-quarter and down 64.6% year-over-year. As we announced in August, we temporarily shut down 2 exahash of our mining computing power in Kazakhstan since July to ensure legal compliance. It caused our total deployed hash rate to decrease to 4 exahash per second and our installed hash rate to decrease to 1.9x exahash per second in this quarter. As NG previously stated already, by our active working with local partners and local government, we've already obtained all the relevant licenses in mid-November. Despite these effects, we mined 117 bitcoins in this quarter and achieved 14.5 bitcoins for mining profit. Gross profit margin reached to 10% for our mining business in this quarter. Please note here that mining profit or loss is defined as the proportion of mining revenues deducting costs for energy and hosting in terms of mining revenues without consideration of depreciation Shifting to our AI business, AI revenue was $0.2 million in this quarter. As NG mentioned, we are now restructuring the AI business as a more independent business segment from mining machine and self-mining business, which could benefit our long-term development as well as open the possibility for AI to conduct independent financing. Now, let us look at the expenses. Our R&D expenses were $17.2 million in this quarter compared to $17.9 million in the last quarter and $17.6 million in the prior year period. Our sales and marketing expenses were $2.5 million compared to $2.4 million in the last quarter and $2.1 million in the prior year period. Our general and administrative expenses in this quarter were $21.9 million compared to $26.4 million in the last quarter and $21.7 million in the prior year period. Our operating expenses totaled $43.8 million remaining year-over-year stable and decreasing 10.7% quarter-over-quarter. The sequential decrease was mainly attributable to the reduced staff costs. We have recently optimized and adjusted our organization through a series of measures, including reducing total headcounts, increasing operational efficiency, and lowering operating cash flows. These measures are a move that can help us with near-term operating leverage against the fierce competition. The effects of these measures will begin to be reflected in our operating data from quarter 1, 2024. The next result of the foregoing was an operating loss of $112.8 million for this quarter compared to $119.1 million in the last quarter. Benefited from foreign exchange gain and deferred tax assets, the net loss was $80.1 million compared to $110.7 million in the last quarter. Turning to our balance sheet and cash flow, during quarter 3, we spent $36 million to sustain the wafer supply and the machine production. Other cash payments included $15 million for operations. The cash flow totaling $51 million was partially offset by cash inflow of $26 million from sales. So net-net at the end of the third quarter, we had cash and cash equivalents of $41 million on our balance sheet. We are glad to announce today that our balance is further bolstered with a capital injection up to $125 million in the form of convertible preferred share sales with multiple trenches subject to the customer rates closing conditions. We intend to use the net proceeds from this capital raise to fund the R&D expansion of production scale and other general corporate purposes. As of the end of this quarter, we recorded accounts receivable of $9.8 million declining $0.3 million compared to the end of quarter 2. We did not implement more instalments in quarter 3 and will continuously evaluate market demand and adopt corresponding credit policies with caution. Now turning our attention to our bitcoin assets. We held a record high 860 bitcoins as our own holding asset of September 30, which is 113 more than 747 at the end of June. We also held 378 bitcoins received as customer deposit, which is the same as the balance of June 30. From August 29, 2023, the date we reported our quarter 2 financial results to November 28, 2023, we neither utilized the ATM nor purchased any ADS. On November 10, we terminated the ATM agreement with the former sales agent and we announced on November 13, we have adjusted our ATM project by appointing B. Riley as the new sales agent. In the future, we will prioritize shareholders carefully, monitor cash flows and stock prices and flexibly execute any potential ATM sales or stock repurchases. In quarter 4, we anticipate a revenue of $34 million. In the end of 2023, the price of bitcoin is still facing a challenging environment and the price competition remains intense. Policy changes regarding cryptocurrencies and mining in different countries will also add uncertainty to industry operations. We may face unforeseen obstacles. Based on the above comprehensive situation, we give a cautious expectation for the fourth quarter of 2023. Now, I would like to briefly walk you through our financial results for the quarter. Revenues in the third quarter of 2023 was $33.3 million as compared to $73.9 million in the second quarter of 2023 and $145.5 million in the same period of 2022. Gross loss in the third quarter of 2023 was $69.1 million compared to a gross loss of $70.1 million in the second quarter of 2023 and a gross profit of $32.6 million in the same period of 2022. Total operating expenses in the third quarter of 2023 were $43.8 million compared to $49.0 million in the second quarter of 2023 and $43.1 million in the same period of 2022. Loss from operations in the third quarter of 2023 was $112.8 million compared to a loss from operations of $119.1 million in the second quarter of 2023 and a loss from operation of $10.5 million in the same period of 2022. Net loss in the third quarter of 2023 was $80.1 million compared to a net loss of $110.7 million in the second quarter of 2023 and a net income of $6.3 million in the same period of 2022. Basic and diluted net loss per ADS in the third quarter of 2023 were $0.47. As of September 30 2023, the company had cash and cash equivalents of $40.6 million. This concludes our prepared remarks. We are now open for questions.
Operator: [Operator Instructions] First question comes from the line of Mr. Lucas Pipes from B. Riley Securities. Please go ahead. Mr. Pipes, your line is now open. You may unmute locally.
Lucas Pipes: Thank you very much, operator. Good morning everyone. Good evening. My first question is on the marketing side and I wonder in the current environment, could you speak to what you compete on, is it price? Is it financing? Is it the quality of your product? If you could maybe just share a little bit of color on that, I would appreciate it. Thank you.
Nangeng Zhang: Yes. Good evening or good morning. I think for this industry, the most important factors are product performance and price. Regardless of the ways of competition, these two aspects should always be a top priority. In addition, it's a cruel too to establish our unique features. Looking at the current and the future market is essential to make targeted adjustments and customize product designs at the system level based on the specific needs of our customers. For example, we have dedicated a lot of effort recently to ensure our systems can operate reliably in hash environments and this has received a lot of positive feedback from our customers. I believe we are industry leaders regarding product quality and customization. Right now, I think the key focus is on rapidly improving product performance while reducing the cost. Thank you.
Lucas Pipes: Very helpful. Thank you for that. And then I wanted to touch on the chip procurement strategy at this time. With where the market is today, how are you looking at making commitments to your suppliers? Thank you very much.
Nangeng Zhang: Yes. I think given that we are currently in the process of product integration and considering the volatile market conditions, we have a sales-driven production strategy. This means that we determine the quantity of wafers to be older based on the number of contracts on sales side, certainly with a certain percentage added. Yes.
Lucas Pipes: That's very helpful. Good to hear as well. Thank you. And then one last one for me. I'm just curious how maybe the U.S. market is holding up more specifically and also what some of the key differences you might be seeing between the U.S. and other markets globally. Thank you.
James Jin Cheng: In the United States, many customers are formerly institutional clients and their funding often comes from the capital markets. Currently, financing costs in the United States remains relatively high. However, we have observed that financing channels that were almost closed in the past year are gradually reopening. As a result, there are signs of recovery in mining machines demand in the U.S. market along with reopening of financing channels. The U.S. market has a relatively high demand of mining machines and the competition is faring as well. It's necessary to provide both top performance and competitive pricing. Given that U.S. market has constantly been a sizeable one, it's become a highly competitive battleground. Yes. Thank you.
Lucas Pipes: Thank you very much for all the color. And to you and the team best of luck.
Operator: One moment for the next questions. Our next question comes from the line of Michael Donovan from H.C. Wainwright. Please go ahead.
Michael Donovan: Thank you, operator. This is Michael Donovan calling in on behalf of Kevin Dede. NG and James, congrats on the quarter. Can you discuss a bit more about the inventory levels of older generation machines? Are they completely gone now?
Nangeng Zhang: Yes. As planned, the destocking process of models up to [A4] is now nearly complete. So our focus has recently shifted to clearing stock of the A13 series.
Michael Donovan: Okay. Thank you. That's helpful. Now for the order levels for the new A14 series, what are the trends you're seeing in the fourth quarter?
Nangeng Zhang: Yes. Our newly launched A14 series mining machines have a higher computing power and much greater power efficiency, making them more competitive. Since we start pre-sales in mid-September, we have received future contracts for about 2 million terahash per second. These orders are gradually making their ways into the supply chain for production.
Michael Donovan: Okay. Great. Now let's get switched to self-mining. You have about 4 exahash currently deployed. How much are you generating now in terms of the mid-fourth quarter? And how much more do you have to deploy?
Nangeng Zhang: Yes. Mining remains a long-term strategic part of our business. So we continue to explore mining cooperation opportunities with other regions. In the third quarter, the pilot batch of computing power for new projects in North and South America entered operation. So they take the batch of 2000 of our [1,340] previous mining machines and successfully deployed and launched for our front mining project with Stronghold. Yes. So at the end of the third quarter, we have about 4 exahash per second of computing power deployed. Also, recently we have expanded our mining computing power in South America and Africa. In addition, we signed contracts for a new project in the Middle East during the fourth quarter. This includes our first pilot collaboration with our in-house integrated liquid cooling mining solution, which is currently in progress deployment and installation testing. Also, about - yes, also we already obtained the type 2 license for our mining operations in Kazakhstan in mid-November, as required by the country's new mining policy. Obtaining this license means we are legally permitted to conduct bitcoin mining activities in Kazakhstan. So at present, we are in the process of adjusting the mining machines deployed locally under this license. We are in discussions with our mining partners to prepare for the reception of operations. If all goes smoothy, we can expect our mining project in Kazakhstan and we will gradually resume operations around the end of the year. Thank you. Thank you, NG. I'll hop back in the queue. Thank you for the questions.
Operator: One moment for the next questions. Our next question comes from the line of Michael Legg from The Benchmark Company. Please ask your question.
Michael Legg: Thanks. Wanted to touch base on the preferred offering you're doing of $125 million. Can you talk about some of the terms of that, whether it's convertible, whether there's a dividend, board seat, et cetera. Just give us a little bit more information on that, please. Thanks.
James Jin Cheng: Thank you, Michael. James speaking. I think today we announced sales of convertible preferred shares of up to $125 million with multiple trenches subject to the customer closing conditions. I think the specific preferred share details are available in the documentation released today on our Form 6-K. I think we intended to use the net proceeds from this capital raise to fund our R&D and expansion of production scale and other general corporate purposes. I think that's the basic idea of doing this fund raising. Thank you, Michael.
Michael Legg: Okay. I'll check the 6-K for the details. And then just I want to follow up on Michael's question on the inventory. What percent is finished goods A14s of the inventory and how much of it is still raw materials versus all the models?
James Jin Cheng: Michael, currently A14 series is still a purely new product. So we are placing the orders of wafers and then we can get the finished goods in late quarter one. I think that's the schedule. So currently we don't have any finished goods. I mean the current stock, we will wait for the wafers coming out and produce the chips and then assemble the machines and deliver to our customers later.
Michael Legg: Okay. So of the $217 million of inventory, how much is raw materials versus all the finished goods?
James Jin Cheng: Okay. I think most - I think about maybe one third of the numbers is the finished goods for A13 series. And another two services I think is diversified to many different stages like the chips or already assembled the PCB but not still waiting for assembling to the machines. And maybe there's also some percentages still at the wafer level. Yes, but I think there's no wafers still in process.
Michael Legg: Okay. And then just one last question. Can you comment on where you think your market share is today when you're - how're seeing yourself versus your competition? Thanks.
James Jin Cheng: Yes. I think - yes, it's a very volatile market this quarter. But for the third quarter it's a quietly boring quarter. So I don't think the market share numbers have some significant change in sort of quarter three. Usually we think it's about 20% or close to that number is our market share. For the first quarter we can observe the significant sales spike in the, yes, but still there's about one month to go. So and also we can observe that many, that there's a significant hash rate increase in quarter four. So we are still waiting for that number. Yes.
Michael Legg: Okay. Thank you.
James Jin Cheng: And Michael, our two major competitors, they are private companies, so they don't disclose their result. So we have no accurate number of the whole market share. NG has described the sense about the market share.
Michael Legg: Okay. Great. Thank you.
Operator: Our next question now comes from the line of Shuang Sun from Guosheng Securities. Please go ahead.
Shuang Sun: Hello. So can you hear me?
Nangeng Zhang: Yes, please.
Shuang Sun: Okay. My first question is, how has the computing power price recovered from the bottom when and to what extent?
Nangeng Zhang: Yes thank you. Thank you for your question. From what we've seen so far, the demand was quite low throughout the entire third quarter. However, as we move to the first quarter, we notice that an increase in demand, especially in past few weeks, but there has no been a significant increase in the average selling price. It's important to note that bitcoin price has only experienced a noticeable upturn in the past few weeks, and the market typically does not react so quickly.
Shuang Sun: Okay.
Nangeng Zhang: Thank you.
Shuang Sun: Okay. Thank you. My second question is that with increasing demand from AI computing power nowadays, can you secure enough wafer supply with the foundry? What's the cheap process node of your mainstream products and which foundry do you collaborate with now?
Nangeng Zhang: Yes. The chips used in our mining machines adopt a different process node, and we are fabricated on a different production line from mainstream cloud-based AI computing chips. And I think the current bottleneck in AI chip production primarily is in advanced packaging. So from my observation, it has not yet impacted the production capacity of the advanced process node. And the fabrication process of our current mainstream products aligns with that of our peers. So the capacity for this advanced process is only available from a selected field top-tier semiconductor foundries. And also we have established long-term partnerships with these foundries.
Shuang Sun: Okay. Thank you.
Operator: Thank you for the questions. And in the interest of time, I would like to turn the call back over to the company for any closing remarks.
Nangeng Zhang: Hello, everyone, and thank you again for joining our Q3 earnings conference call today. If you have any further questions, please feel free to reach us through the contact information provided on our website. And thank you again.
Operator: That concludes the call today. Thank you, everyone, for attending. You may now disconnect.